Operator: Good afternoon, everyone. Welcome to the JAKKS Pacific First Quarter 2024 Earnings Conference Call with management, who will review financial results for the quarter ended March 31, 2024.  
 JAKKS issued its earnings press release earlier today. The earnings release and presentation slides related to today's call are available on the company's recently remodeled website in the Investors section.  
 On the call this afternoon are Stephen Berman, Chairman and Chief Executive Officer; and John Kimble, Chief Financial Officer. Stephen will provide -- first provide an overview of the quarter, along with highlights of recent performance and current business trends, then John will provide some additional editorial around JAKKS Pacific's financial and operational results. Mr. Berman will then return with additional comments and some closing remarks prior to opening up the call for questions. [Operator Instructions]
 Before we begin, the company would like to point out that any comments made about JAKKS Pacific's future performance, events or circumstances, including the estimates of sales, margins and/or adjusted EBITDA in 2024 as well as any other forward-looking statements concerning 2024 and beyond, are subject to safe harbor protection under federal security laws. These statements reflect the company's best judgment based on current market trends and conditions today and are subject to certain risks and uncertainties, which could cause actual results to differ materially from those projected in forward-looking statements.  
 For details concerning these and other such risks and uncertainties, users should consult JAKKS' most recent 10-K and 10-Q filings with the SEC as well as the company's other reports subsequently filed with the SEC from time to time. In addition, today's comments by management will refer to non-GAAP financial measures such as adjusted EBITDA and adjusted earnings per share. Unless stated otherwise, the most directly comparable GAAP financial metric has been reconciled to the associated non-GAAP financial measure within the company's earnings press release issued today or previously.  
 As a reminder, this conference is being recorded. With that, I would now like to turn the call over to Stephen Berman. 
Stephen Berman: Good afternoon, and thank you for joining us today. With our strong conviction, we are delighted with our current state of the business here at JAKKS. First, paying off our expensive and long-term debt last summer and now retiring all the outstanding preferred shares. Our balance sheet has never been healthier. 
 On the commercial side, I've personally been to Europe already twice this year, meeting with customers and licensors who are engaged about our renewed focus on those markets and excited to share their ideas to accelerate our growth there. And as we speak, we've had customers enter our showrooms for the last month enthused about the current state of our portfolio and some of the new ideas we are chasing for 2025.   
 With that said, as our long-term investors know, first quarter is always our lowest shipping quarter. Retailers are cleaning up the shelves after the holiday season. And outside of the new entertainment-driven releases, it's a time of year led by day-in and day-out sales in support of birthdays and other impulse-driven purchases. What you don't see in the financial statements, but it is of the highest importance during this time of year, is the table setting for the future business that I just talked about.  
 Finalizing commitments against promotional opportunities and retail placement for later in the year happens now. Discussions about new listings for spring and even fall 2025 are happening now. And for us, in particular, conversations about new entertainment releases and new product initiatives for 2025 and even 2026 are happening as well. Through that lens, the first quarter has gone well for us at JAKKS, even if the financial results are less than thrilling. Our revenues were in line with our expectations given the absence of new films in our first half portfolio. Unfortunately, despite lowering our expectations for the additional shipments in support of a key Q4 2023 film, the reality is its release via streaming has done little to improve what has been a real disappointment for all involved.  
 We continue to be an FOB-first company. In 2023, over 70% of our total company sales were made FOB out of Asia. Although this allows us to operate with leaner inventory and working capital than other companies in our space, it nonetheless means we are not immune to inventory write-down issues when results significantly deviate from expectations as was the case with the aforementioned film.  
 We are always operating in 3 different years at the same time in our industry. Shipping to customers who are selling through to consumers daily, previewing 2025 product to retailers behind closed doors, and brainstorming new initiatives and opportunities internally and externally that might be 18 to 24 months away from ultimately shipping. That reality is in conflict to the quarterly reports of results in a business with our seasonality.  
 And with that in mind, we know that SG&A in the latter quarters are going to look heavier from time to time. We have talked about increased spending on infrastructure, and we continue to do that in a thoughtful way, evaluating our full year profit and cash-generating targets.  
 The efforts we're making today in areas like European and Mexico distribution capabilities, demand creation and related tech support are the right thing to do for our company. I am confident when we get into 2025 and '26, we will be even happier about the progress we're seeing today, even acknowledging it's not a straight line to success and there is a degree of test and learn in most of these things that we do.  
 Finally, I want to talk a bit about the redemption of our preferred shares. When the company was recapitalized in 2019, we were in a very difficult situation as the bankruptcy of Toys "R" Us and other important customers in the preceding years sent a shock wave through our industry and significantly changed the market dynamics that we had been operating under in the decades plus previously.  
 Since the recapitalization, we have been clear in our goals to tighten the focus around our core business, improve our margins and un-encumber our balance sheet. The team's collective efforts as well as the collaborative success with our business partners has allowed us to exceed nearly every expectations over the following 5 years.  
 We refinanced our debt in the middle of 2021, paid off that balance in 2023, and now finally have retired the last artifact of that restructuring. The preferred shares required us to accrue or pay a quarterly dividend and prohibited us any return of capital to the common shareholder base. Although the negotiated settlement used up over half our cash on hand as we headed into a tight liquidity season, the Board and I felt the right decision to make was to take the opportunity to repurchase those shares at a discount to their contractually entitled pricing when that opportunity presented itself.  
 A company of our size has always had to be mindful of unanticipated market disruptions and the potential impact on our results and liquidity. And it is my highest priority personally to ensure that we are future proofing the company as best as we can to avoid the situation we found ourselves in back in 2019.  
 As the preferred opportunity surfaced somewhat unexpectedly, we are not in a position today to articulate precisely what's next, given what we've achieved in our aforementioned goals as it relates to a clean balance sheet. The Board and I are discussing a number of considerations, and John will touch upon the topic a bit. But I wanted to point out that we are mindful that investors community is understandably curious as to where we think we are headed, given our remarkable accomplishments in this area, at least in our opinion.  
 And with that, I will pass it over to John. 
John Kimble: Thank you, Stephen, and hi, everybody. First quarter results are never a particularly interesting topic from a financial perspective. Over the past 4 to 5 years, our Q1 revenues have never represented more than 15% of our full year results, which is not a great starting point when looking at most P&L metrics. 
 Nonetheless, as we are always on the lookout for ways to add transparency to our business while being mindful of the confidentiality of data with respect to our partners, I wanted to highlight some increased disclosures we have made in the presentation deck that we include along with our earnings releases.  
 You've heard us talk about our core business of evergreen brands, categories and play patterns. But investors who are less familiar with the toy space are sometimes challenged to understand the combination of our core evergreen business and the additional product lines enabled by new entertainment. Our daily objective is expanding those core evergreen product lines into more points of distribution and deeper buys. But our existence adjacent to the entertainment and gaming industries occasionally provides us with another lever to pull for more volume and margin on top of that core business.  
 For recent years, our published financial data disclosed net sales organized by 4 operating divisions: action play and collectibles, dolls role play and dress up, outdoor seasonal toys and consumer products, and our costume business. And we will continue to share those results going forward. But as we've crunched the numbers more and discussed internally, it's the latter 2 businesses, seasonal and costumes, which we have concluded are somewhat less sensitive to new entertainment. Unless someone makes a movie about ball pits, we're generally going to sell a certain number of ball pits every year. And what drives the numbers, more individual retailers tweaking their dedicated shelf space and/or our portion of that space more than entertainment driving more per capita consumption.  
 As support for that argument, I'll point out how the seasonal business has struggled in recent years as the larger cube footprint of a lot of the items suffered through high container costs, inventory backups and retailers taking a more critical view of allocating floor space to those items, especially after selling a lot of them during COVID. The costumes business similarly is trying to find its footing in a post-COVID world as 2020, 2021, 2022 have probably been the most unpredictable years in the business for a really long time.  
 But on the flip side, it's the action figures and doll business, where the new entertainment will generate an entirely new product line of anywhere from 6 to a couple dozen unique SKUs, as opposed to one or 2 new ball pits taking the place of last year's ball pits. And those new product ranges will get dedicated shelf space for a season or two or end-cap placement or out-of-aisle pallets or all of the above. Retailers who only carry toys for a portion of the year will be looking to stock these hottest on-trend properties, and that's the lift that the right entertainment releases can generate.  
 So informed by that understanding of the business, we went back and essentially recut the 2 divisions that we've been disclosing previously and created an alternate view of them to provide you with a better understanding of how the underlying business is performing. We can do that in part because our licensing agreements require us to be very precise on what we report back to the licensors. And a new film property will almost always have a unique packaging look. It's the only place you can find new characters unique to that film, where our day-in, day-out evergreen product will be reported separately and found in different packaging.  
 To be clear, in any given year, we're bringing to market over 40 different product lines, representing an even broader array of characters and, of course, selling across all the major markets of the world. By extension, each of those lines are their own unique business, and it's the accumulated portfolio that we check in and talk about on a quarterly basis. I subject you to all that as a bit of a back story to understand the nuance there. 
 As much as we're not thrilled with top line being down, the data supports what we know to be true, that our underlying core business has steadily expanded over the past few years, even while we benefited from some exceptional upsides driven by films and episodic TV at the same time. That's the best insight I can think of to provide as it relates to sales. 
 I know some of you are now asking, yes, but what the heck is going on with margins? Fair question. It's a bunch of different things as it turns out, which tend to pile up on each other when they appear all at once. Product margin was something of a tight rope and likely will be most of the year. The newest hottest product tends to sell through cleanly and secure the best margins at the beginning of the product life cycle. So based upon what we've said about the first half, you know we don't have that working in our favor.  
 Lower royalties may help you a bit here, but you have both volume and rate components there. The films in the back half should help. We have 2 in particular that we're excited about, but we had one last year that we were excited about back then. So the year-over-year excitement increment, from a margin point of view at least, is really only one noteworthy film that doesn't release until December, that being Sonic 3. Rough numbers, we usually see 25% to 30% of marginal sales flow through to EBITDA. So in summary, I'd say sales volume created a $4 million to $5 million negative comp this quarter.  
 Issue number two, the cleanup on aisle 7 of the aforementioned disappointing Q4 2023 theatrical release. Should this topic be somewhat done and resolved now? Yes, we hope so. I would say this was as big of an issue as issue #1 in the quarter, if not a bit more. You have product on shelf, product in the warehouse, product and components in anticipation of spring orders, all of which is suddenly a bit ill-advised when the consumer isn't responding. We are moving on.  
 Separate but related, call it 2B. Beginning in the second half of last year and so far this year, we are seeing a return to more pre-COVID-like levels of product needing more price promotion to sell through cleanly. This can be a very challenging area to forecast prospectively as you are inevitably presuming recent results will be indicative of future performance. But the alternative is to presume everything will be awesome and nothing bad will ever happen, and that's not responsible or GAAP either. 
 So assume there was a bit of this happening in Q1 as well.  But with all those thoughts in mind, we still feel we are running a business that will generate a gross margin percentage that starts with a 3, despite what Q1 might imply.  
 Issue number three. We are spending more money on G&A areas, as we've said in recent quarters. Our focus in 2020 and 2021 was survival and fixing the balance sheet. 2022 was a wild ride chasing a great revenue year. 2023 and now 2024 are gradually tuning up the organization, processes and infrastructure for the next wave of revenue growth.  
 Unfortunately, at a time where everything tends to cost more than it did prior, that can be a bad look when revenues and gross margins are down. Some of the spending that's happening in G&A is going to persist for a time until the revenue line makes it seem less notable or we get to better places from an efficiency point of view. That said, you're not going to see us leaning into talking about "onetime" projects and backing those numbers out. That's not in our plans. Some of these efforts are tallying up to 6-digit spend on a full year basis to give you an order of magnitude. But we wanted to point it out, as they're real as much as we're trying to self-fund as much as we can by cutting back in other places. 
 We're simply trying to manage the business for the long term as much as that sounds like an obvious thing to say. And some of that work is driving spending in areas where we've been lighter the past couple of years. That's in addition to the reality of the cost for most SG&A areas tend to be running higher year-over-year on a rate basis, which we know is a phenomenon not unique to us.  
 Finally, four, it's a small revenue quarter. Someone knocking over a vase in the lobby impacts the bottom line. No, that didn't really happen. But metaphorically, it does happen from time to time over the course of the year. Q1 seemed to have more than its fair share, low 7 digits. In addition, there were some timing elements in total that were unfavorable for the quarter, but ideally will just prove to be some full year spending being pulled forward a bit more than 2023. That's it for the P&L.  
 Balance sheet. Stephen has talked about the preferred. Happy to not be talking about them anymore. We were on a path to start paying the dividends in cash this year to stop the accretion. So the fact that we're not eliminates about $1.7 million in cash that would have gone out the door and represents nearly 10% of the cash payment we did make in closing the transaction. That payment is digging deep into the bank account for us given the time of the year. Not unlike when we paid off the term loan last June, we have enough confidence in our outlook for the balance of the year that we can take the calculated risk to extend ourselves cash-wise without jeopardizing our overall liquidity. As of April 22, our total cash on hand was around $22 million as an additional reference point for you.  
 Next, I wanted to update the narrative a bit on capital allocation. As Stephen mentioned, the preferred redemption opportunity surfaced on relatively short notice. So something we contemplated as more of a 2025 scenario has accelerated on us. We are being more diligent in monitoring cash given the unscheduled outflow and have a path forward to get to the end of the year with the backstop of our credit line.  
 Separately, we are going deeper than we would otherwise in our 2025 and 2026 projections to give us the best view of liquidity and the related sensitivities. As that work is ongoing, there are 4 areas that are floating to the surface as key considerations, which I'll run through you without a rank order of importance.  
 Working capital is clearly one. You've heard us talk about ramping up our international footprint. We know that sales outside of North America are a meaningful opportunity. The breadth and depth of our current product portfolio and the proof point around sales in the U.S. position us well to reengage key international markets to ensure we are on shelf year-round in all the key categories and at all the key accounts. We are moving people around, rejuggling organizations, questioning why we do things the way we've always done them and all of those fun things.  
 A second area is M&A. As many of you know, JAKKS was built on M&A over the years. And walking through the showroom, you can see how our company today is really, in many ways, the accumulation of those acquisitions, well over 50% of our total sales volume. That said, we do not anticipate anything changing from an investment thesis perspective. It would have to be the right assets. Importantly, priced at the right level that clearly fit in our go-to-markets today. We are not looking to diversify our business model or extend into services or anything like that. One of the first questions we always ask is, could we see JAKKS successfully selling this product line, to give you some insight as to how we view this topic.  
 Third is acquiring new licenses. We have found over time that securing the right license is a less risky, less expensive way to enter new categories than M&A, even if it might mean a slower build. Nonetheless, it does tend to require our investing cash ahead of revenue between satisfying the licensor, ensuring we have the right internal resources to be successful, and the associated product development work.  
 Fourth on the list is capital return. We know that return of capital to shareholders is an important consideration for investors when a company is not in hyper growth mode. It was a key consideration in the retirement of the preferred shares. Some of these uses of capital are more lasting and visible than others. So we are being rigorous in our assessment of how those balance out as you would hope us to be.  
 Finally, as some of you know, the world of sell-side equity research has undergone a lot of change over the past 20 years and continues to do so. Recently, the lead analyst covering our stock moved on to a new role, so we wish him well with that. With that in mind, we're probably not going to have any questions at the end of the prepared remarks this quarter, just so you know why. 
 But if you want to send something in to investors@jakks.net e-mail address during the call, we'll see if we can work it in. Or if there are questions or observations you wish were being surfaced in our quarterly narratives, feel free to funnel them through that address, which is also tagged to our earnings release. And we'll add it to the consideration set going forward or we can try to work you into the list of follow-up investor calls that we conduct regularly.  
 And now I'll pass things back to Stephen. 
Stephen Berman: Thank you, John. As we have expressed over the past years, our main goals for JAKKS were getting JAKKS into a strong financial position, which we have achieved, in addition to building an evergreen portfolio of products and categories which we can build upon year after year for stable cash flows and growth across the categories.  
 At the same time, we have been working to secure some exciting new IP and areas of new businesses that leverage our expertise and create new avenues for growth to add to our portfolio of products and categories.  
 As we move into a new year, we will benefit from new products supported by upcoming movies and evergreen IP such as Moana 2, Sonic 3, The Simpsons and the ABG brand portfolio. These additions of strong IP help strengthen the brick-to-brick methodology of how we have built our businesses over the years. These new businesses are why we are looking forward to the latter part of the year and how we see these new areas developing into 2025 and beyond.  
 As expressed in our fourth quarter year-end conference call, we said the first half of this year would be less than exciting as we had 2 blockbuster films launched in the first half of last year with the accompanying products for The Super Mario Bros. movie and The Little Mermaid movie, both in toy, in Halloween and role play and dress up. 
 So looking into the second half of 2024, from a content perspective, we were delighted that Disney plans to release Moana 2 in theaters this holiday season. The film tells the next chapter in the world of Moana, their successful 2016 film. We chased demand when the original Moana film exceeded commercial expectations, and it has been a constant seller for us ever since.  We'll have a broad array of products and a new focused line of products inspired by the film on shelf in Q4. 
 And as a reminder, we are enjoying 3 new pieces of entertainment in the world of Sonic the Hedgehog; season 3 of Sonic Prime, which released in mid-January on Netflix; in addition to Knuckles, something of a prequel to the third film launching in December.  Our friends at Sega are doing an exceptional job managing the Sonic franchise as you really will see Sonic in more places and resonating with more and more kids. 
 We have made great progress on sharing our new Simpsons line with retailers across our major markets. We are now just starting to tease out the product to consumers, and the reaction has been extremely strong. And the going-forward retail commitments occurring this fall are exciting, which we hope will build into 2025 and beyond for this strong evergreen property and brand.    
 I wanted to highlight that our Disney ILY business continues to steadily build. Our original '18 install line continues to perform well with new waves of assortment, allowing consumers to engage with their favorite characters. We launched the fashion doll [ scale ] last fall and have seen great sell-throughs then and this spring. The inspired Stitch doll continues to be a top seller week after week. 
 In our outdoor and seasonal division, we continue to work extremely close with ABG, meeting with retailers and sharing some of our potential collaborations. We have been working on iconic assortments of their properties, names like Element, Quiksilver, Roxy, Billabong, Volcom, Forever 21, Juicy Couture, Sports Illustrated and Prince, just to name a few. All customers coming through our showroom recently were extremely impressed by the amazing new designs for Element, Volcom and Billabong and Quiksilver skateboards, which will be at specialty and mass retailers in-store and online. 
 In 2025, we are expanding into branded roller skates, inline skates, volleyballs, outdoor furniture, including chairs, umbrellas and canopies, beach accessories, inflatable pool floats, foldable wagons, and an extensive line of dolls and doll accessories infused with fashion elements from Forever 21, Prince, Sports Illustrated, Roxy and Billabong. 
 When it comes to disguise, we have new product for a large number of new releases, the new Ghostbusters movie, the new Despicable Me and Kung Fu Panda movies, and releasing this fall, Wicked. 
 In addition to all of the above, we have some new private-label initiatives, some new seasonal product lines extensions from our foot-to-floor ride-on category, new play environments ranging from ball pits and tents, to our new expansive sports zone line, inclusive of gaga pits, ladder baseball, skee ball golf and cross-strike to name a few. And we're also bringing out some new indoor licensed jungle gyms, so keep an eye out for those. 
 It's a lot. We are extremely busy, but it's the right kind of busy, and we're excited. We're thrilled to see another great year coming together at JAKKS, capped as always by the upcoming Halloween and holiday season. 
 Thank you again for your interest in our company, and we look forward to meeting with many of our key stakeholders at licensing show next month in Las Vegas. Thank you. Operator? 
Operator: [Operator Instructions] And I'm currently showing no questions at this time. I'd like to hand the call back over to Stephen Berman for closing remarks. 
Stephen Berman: Thank you, operator. So we actually have had received some questions via e-mail, and we also have lined up calls right after this. But to address one of the questions with regards to Authentic Brands and Simpsons, the first half -- or the second half of the year, we're expanding into the specialty and collective retail markets and then the full expansion of the ABG line from the Element skateboards to the outdoor furniture to the canopies. Really, the breadth of the line hits spring, summer 2025, but we have the initial launch of skateboards coming into the fall this year.
 And really, the biggest impact of the Simpsons line of product will jump into a tease during the fourth quarter. But the whole, call it, rollout hits in the spring '25 and go through fall '25. But we have the initial launch happening worldwide during probably fourth quarter -- third, fourth quarter of this year, but the big impact will be in 2025. 
 There was additional question regarding margin, and I'll turn it over to John. 
John Kimble: Thanks, Stephen. So there was a question asking us to unpack gross margin a little bit more. I think I went through that in some level of detail, even though it was perhaps a bit quick. But I think there's a level of explanation in there if people want to go back and kind of sift through it a bit. 
 But what I did want to speak to is although, on one hand, we certainly talked about seeing more pressure for price promotion and moving product lately and anticipate that lasting this year, it's certainly the case that from a first quarter perspective, we saw a number of negative impacts on gross margin, which we think or hope are going to be unique to Q1. And so as we look forward into the rest of the year, especially with the backdrop that we're always kind of working to sharpen the pencil on product margins, that's what gives us a degree of confidence about what we said in that as much as this quarter's results in that area weren't anything that would be aspirational. That for the balance of the year, we think, hopefully, a lot of that kind of bad news is behind us and -- not exactly in a onetime-y way. But in terms of over the long haul, sometimes, things don't break your way and that we certainly had a little bit of that as we close out this quarter. 
Stephen Berman: And with that, we have received some very nice communications through our e-mails. We will be addressing those during our investor calls right after this call. Thank you, everybody, for joining the call today. We look forward to speaking to you during our second quarter conference call and throughout some of the investor meetings we have coming up in the next few months. Thank you. 
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.